Operator: Thank you for standing by. This is the conference operator. Welcome to the First Quarter 2025 Results Conference Call and Webcast for Canadian Utilities Limited. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Colin Jackson, Senior Vice President, Financial Operations. Please go ahead, Mr. Jackson.
Colin Jackson: Thank you, and good morning, everyone. We are pleased you could join us for the Canadian Utilities first quarter 2025 conference call. On the line today, we have Bob Myles, President and Chief Operating Officer of Canadian Utilities Limited; and Katie Patrick, Executive Vice President, Chief Financial and Investment Officer. Before we move into today's remarks, I would like to take a moment to acknowledge the numerous traditional territories and homelands on which our global facilities are located. Today, I am speaking to you from our ATCO Park head office in Calgary, which is located in the Treaty 7 region. This is the ancestral territory of the Blackfoot Confederacy, comprised of the Siksika, the Kainai, the Piikani Nations, the Tsuut'ina Nation, and the Stoney Nakoda Nations, which includes the Chiniki, Bearspaw and Goodstoney First Nations. I also want to recognize that the City of Calgary is home to the Metis Nation of Alberta, Districts 5 and 6. We honor and respect the diverse history, languages, ceremonies and the culture of the indigenous people who call these areas home. Today, you'll hear from Bob, who will deliver opening comments along with key developments within our ATCO Energy Systems and ATCO EnPower businesses. And then you'll hear from Katie, who will discuss ATCO Australia and our Q1 financial results. Following today's remarks, the Canadian Utilities team will take questions from the investment community. Please note that a replay of the conference call, a copy of the presentation and today's transcript will be available on our website at canadianutilities.com following the call. The materials can be found in the Investor section under Events and Presentations. Today's remarks will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please refer to our filings with the Canadian security regulators. During today's presentation, we may refer to certain non-GAAP and other financial measures including adjusted earnings, adjusted earnings per share and adjusted EBITDA. These measures do not have any standardized meaning under IFRS. And as a result, they may not be comparable to similar measures presented by other entities. Please refer to our filings with the Canadian security regulators for further information. And now I'll turn the call over to Bob for his opening remarks.
Bob Myles: Thanks, Colin, and good morning everyone. Thank you for joining us today. I want to begin by outlining the trends we continue to see in our core market of Alberta. We do see positive momentum in Alberta with significant opportunities for growth tied to the Canadian Utilities portfolio. Looking ahead, we see significant population and related housing growth. We see increased industrial investment across our service areas and an overall supportive regulatory environment. These factors combined put Canadian Utilities in a favorable position. Today I'll share our plans to capitalize on these opportunities as well as our priorities and growth plans. There continues to be a number of opportunities ahead for Canadian Utilities as we focus on driving growth across our businesses. Beginning with our largest asset, our Alberta Utilities. Looking at our capital program over the next three years, we expect to invest $5.8 billion into our regulated utilities in Canada. You can see our largest investment will be in our natural gas transmission business and tied to our Yellowhead pipeline project, which will be our largest infrastructure project to date. This year alone we plan to invest $1.5 billion in our utilities within ATCO Energy Systems. This aligns with the trends we are seeing in Alberta and our continued investment drives our average annual rate base growth of 5.4% while ensuring we continue to deliver quality earnings. As I mentioned, our largest investment during our three-year capital plan is our Yellowhead pipeline project, a natural gas transmission pipeline within the province of Alberta. Today, we are pleased to announce the preliminary preferred route has been chosen for this 230 kilometer project. Situated in the Heartland region, east of Edmonton, this project is expected to deliver 1.1 billion cubic feet per day of additional natural gas to Albertans and Alberta businesses. I want to touch on the announcement from two weeks ago where Dow shared they are delaying construction at their Path2Zero project in Fort Saskatchewan. I want to be clear that this will not impact us continuing to progress the Yellowhead project. As we have shared previously, the demand for safe and reliable supply of gas from our Yellowhead project is required by a variety of customers, many of whom have contracted for service starting in Q4 of 2027. As we look at our timeline, our needs application was filed in September of last year with the Alberta Utilities Commission. We expect to receive approval of this first application in the second quarter of this year. Once this approval is received, we will be in a better position to make commitments on long lead material orders. Next, in the regulatory process is the facility application which we expect to file in Q4 of this year and obtain approvals that enable construction to commence in mid-2026 to deliver an in service date in Q4 2027. We continue to advance our Central East Transfer-Out Project which remains on time and on budget. This is an approximately $280 million project assigned by the Alberta Electric System Operator, the AESO, in our electric transmission business. This new 85 kilometer electric transmission line will help bring additional renewable energy from the eastern part of Alberta to the load centers, while strengthening the reliability of the provincial electric grid. The project is expected to be in service in mid-2026. We look forward to continuing to work with the AESO, the government and other industry participants to identify, develop and build the crucial investments needed to ensure a reliable and resilient energy system in Alberta. Looking at our ATCO EnPower business, our portfolio of operating assets positions us to meet the evolving energy needs of Albertans and Canadians. ATCO EnPower focuses on delivering reliable, affordable and cleaner energy infrastructure that supports our customers decarbonization objectives and leverages our core competencies and assets. We are actively participating in the energy transition which will help us pursue our three-pillar growth strategy through our natural gas and natural gas liquid storage, generation and cleaner fuel businesses. We believe that hydrogen will play a critical role for sectors across the globe in meeting their decarbonization goals. The ATCO Heartland Hydrogen Hub is the development of a large scale hydrogen facility adjacent to Alberta Heartland Energy Centre in Fort Saskatchewan, Alberta. We continue to progress discussions with both federal and provincial governments to establish policy and frameworks that facilitate investment in the Canadian hydrogen economy for both export and domestic opportunities. We look forward to working with the newly elected federal government to gain greater certainty on the hydrogen policy and framework, the risk sharing mechanisms and the funding for the next stage of development. Clarity on these areas will allow us to move into front end engineering design stage and to ultimately make a final investment decision on this project. Offtake and the build out of the value chain continues to remain a crucial part of de risking the project and our ultimate goal would be to have a 20% to 25% ownership of the project. We will continue to share updates as we progress towards a final investment decision. Our ATCO EnPower business has established assets in a robust development pipeline diversified across the energy transition value chain. While we remain committed to advancing cleaner fuels including our hydrogen developments, today's energy market landscape is evolving and we require further clarity on a number of items before proceeding. That said, this is not stopping us from progressing the project forward. As previously discussed we have secured strategic partners, we have completed pre-front-end engineering design work and will continue to move the project forward at a prudent pace. Within generation due to the continued regulatory uncertainty around Alberta's restructured energy market and the transmission regulations, our customers are reluctant to invest and make commitments in the Alberta market. As a result of this, our future development opportunities within generation have been paused until policy certainty exists for market participants. While this uncertainty is impacting our ability to develop assets in the short term, our renewable development pipeline in Alberta remains a long term strategic asset. While there are near term challenges in the Alberta market and timing uncertainty on when energy transition related projects may proceed, the suite of assets held by ATCO EnPower provides us the optionality to advance the investments that provide us the most certainty. With the strength we are seeing in our natural gas and natural gas liquid storage assets, we look to continue to advance these opportunities with further investments in this business segment across Alberta. We will do this by leveraging our strong, existing asset base that provides a low risk path for expansion, our strategic locations and pipeline connectivity that offer market flexibility and our favorable market conditions for storage operators supporting long-term revenue growth. Due to these drivers, we believe ATCO EnPower holds a competitive advantage within our natural gas and liquid storage business. This will position us efficiently to execute on a growth and expand our operations and presence across the value chain through our disciplined, self-funded strategy. With that, I’ll pass to Katie to discuss our operational results.
Katie Patrick: Thanks, Bob. Good morning, everyone. In Q1 of this year, a regulated Australian gas utility began operating under the Sixth Access Arrangement or AA6, which sets a regulated rate of return for January of this year through December 2029. The Economic Regulation Authority set an ROE of 8.23% for the AA6 period, up from 5.02% in AA5. We believe natural gas will continue to be an important and critical source of energy for Western Australians. Our positive regulatory decision in Australia provides us certainty across tariffs and investments through 2029. When incorporating the changes from AA5 to AA6 along with other factors impacting our business, we expect that we will deliver year-over-year growth in adjusted earnings at ATCO Gas Australia in 2025. As many will know, inflation indexing can impact our overall earnings that we see in Australia with higher inflation leading to an increase in earnings from this business. We are watching this trend closely for 2025 amidst the ongoing tariff uncertainty. Moving now to our first quarter performance for CUL as a whole. Q1 was a strong start at Canadian Utilities. We achieved adjusted earnings of $232 million, up from $225 million during the same period in 2024. This translated to adjusted earnings per share of $0.85 for the quarter. ATCO Energy Systems delivered adjusted earnings of $232 million in the quarter, an increase of 5% or $11 million compared to Q1 2024. This increase was driven by growth in rate base and the timing of cost efficiencies. While it was a great start to the year, we do want to remind everyone that we have some headwinds this year. As a reminder, our allowable ROE of 9.28% for 2024 was reset to 8.97% for 2025 across our Alberta Utilities. And our incremental 50 basis points of ROE that our gas and electric distribution utilities benefited from under PBR2 concluded at the end of 2024. Moving to ATCO EnPower, we delivered adjusted EBITDA of $37 million for the quarter, up $6 million compared to the same period last year and adjusted earnings of $11 million, up $3 million compared to Q1 2024. Our strong performance at ATCO EnPower was partially offset by our electricity generation business, which was impacted by lower capture pricing at our Forty Mile Wind facility driven by the ongoing uncertainty in the power market in Alberta. Within our storage and industrial water business, we delivered a strong quarter with adjusted EBITDA of $24 million and adjusted earnings of $14 million, up $4 million or 40% compared to the prior year. Earnings growth in this segment was driven by strong seasonal spreads in our natural gas storage services. ATCO Australia delivered adjusted earnings of $13 million in Q1. This was $2 million higher compared to the same period in 2024 and driven by higher rates and realized operating efficiencies within our gas business. Our financing and other segment reflects a decrease in earnings contribution from the sale of ATCO Energy in Q3 2024. A metric we are very focused on is cash generation. Cash from operations was $637 million in the quarter, up 27% from the prior year. This growth supported our operations, capital program and normal course financial commitments. As we look forward to the increased growth profile ahead of us, we remain focused on strong cash generation to finance our enhanced capital program. Briefly touching on this point, as I’ve mentioned before, we are actively progressing our financing strategy for the capital plans overall and specifically our Yellowhead pipeline project. We anticipate the ultimate financing plan for this project to include indigenous equity participation as well as external capital contributions, which could include a combination of debt, hybrid capital, or common equity. Overall, Q1 was a strong start for the business and we remain focused on carrying this momentum through 2025. We will continue to execute on our strategy through the year ahead with a focus on finding efficiencies across the organization and positioning ourselves for the significant growth ahead of us. That concludes our prepared remarks. I will now turn the call back to Colin.
Colin Jackson: Thank you, Katie. In the interest of time, we ask that you limit yourself to two questions. If you have additional questions, you are welcome to rejoin the queue. I will now turn it over to the conference coordinator for questions.
Operator: Thank you. [Operator Instructions] First question comes from Maurice Choy with RBC. Please go ahead.
Maurice Choy: Thank you, and good morning, everyone. Just wanted to come back to the Canadian hydrogen and economy, Bob, you mentioned that progressing with the federal and provincial government to establish policy to facilitate investment here. I wonder now that we do have a new federal government in place, if you could help us describe a timeline of key policy milestones, whether it is for the rest of the year or into 2026, what comes first from where and at what point do we think an FID might come?
Bob Myles: Thanks, Maurice. There's two parts to that, I'm going to say, the first thing is on the export project, which we've been progressing. The big issue on export is getting commitment from Transport Canada on ammonia by rail. And that was kind of put on hold, I'm going to say, with the election. So we're anxiously awaiting our next discussions with Transport Canada in that area. So that's the export side that needs to get addressed. On the domestic side, the uncertainty was really in the areas of what's happening with an investment tax credit, with the environmental policies. And so we really needed to see what is going to happen in Ottawa on that. So hopefully over the next two to three months, we'll get more certainty there, which will allow us to make a decision on how we proceed.
Maurice Choy: Understood. And if I could just finish off, I know the last conference call you highlighted that CU is well positioned for the data center build out. Just wondering since the Q4 call, which admittedly has only been a few months, just wondering if you've seen any material movements across your businesses to capture any of this growth.
Bob Myles: I think there has been some movement for us specifically though, I would say, we need to see what happens with the restructured energy market and transmission regulations like that is the big driver even to build data centers around existing generation. You still need more generation in the province and companies are very hesitant to build more generation when we don't know what the rules are going to be.
Maurice Choy: Understood. Thank you very much.
Operator: The next question comes from Mark Kirby with CIBC. Please go ahead.
Ollie Primak: Hi, guys. This is actually Ollie Primak on the line for Mark. We just had a couple of questions for you. So maybe just following up on the hydrogen project, we were wondering if at all how tariffs might impact the viability and potential cost of the Alberta hydrogen project. And how you might think that – how you might think customers or if you think customers could absorb any higher build costs.
Bob Myles: Yes, thanks. We're definitely very concerned about costs. The tariffs, however, a lot of the products we'd be sourcing don't necessarily need to come from the U.S. So not sure tariffs would really have that much of an impact on us. But I'd say the bigger thing is the uncertainty that's happening around the tariffs is really creating this environment where we're looking to work better together as Canadians. And also a lot of the global market is looking to Canada to kind of provide some solutions with regards to the concerns around the U.S. market. So tariffs directly with regards to cost is something we're evaluating, but I do think it's causing us to look at our project a little differently.
Ollie Primak: That's helpful, thank you. And then just moving on to the EnPower projects with a little bit of some of the clarity that we heard recently on the REM process and move away from the day ahead market. Are you getting closer to a point where you could have some or are you having initial discussions with PPA counterparties? And what specifically would you like to see before moving into any advanced discussions? Just generally wanted to get the feedback on any discussions with counterparties and moving forward with any potential projects.
Bob Myles: So firstly on the REM restructured energy market, I have to say, I'm encouraged by where the ISO is progressing. It was pretty concerning for quite some time, but the recent changes and the recent proposal that the ISO has identified, again, is encouraging to all of us. I think the bigger concern is the power price in the province is we just need to see where that's going to go. So to answer your question specifically, we are not actually in any discussions right now on any specific PPAs that would drive projects. There still is, I think too much uncertainty around the power price.
Ollie Primak: Okay. Yes, that's helpful. All right, I'll just get back in the queue then. That's all the questions for now. Thank you, guys.
Bob Myles: Thank you.
Operator: [Operator Instructions] The next question comes from Jessica Hoyle with Scotiabank. Please go ahead.
Jessica Hoyle: Good morning. Thanks very much for taking my questions. Wanted to start on LUMA. So how have conversations with the government progressed since the April blackout? Is the government fulfilling all of its payment requirements and how do you view the risk of the contract being terminated?
Bob Myles: Thanks, Jessica. It's definitely an interesting question. The situation in Puerto Rico with regards to the reliability of the system is a big concern for us and for the people of Puerto Rico. We are having regular discussions with the government and her team around her. And have we made a lot of progress on it? I'd say there's still a lot of uncertainty there. We are looking to submit a new rate application which will actually, our objective is to generate drive more cash to be able to do more things on the island, that's still uncertain right now as to where that will go. There's the blackouts. We had one as you know, December 31st and then another one right before Easter, which are a big concern, but definitely tells us that there's a big issue with reliability that we've been trying to address. And we still have a lot more to do for sure.
Jessica Hoyle: Thanks for that. And then just in your prepared remarks, you highlighted the favorable market conditions for natural gas storage. And it appears that gas storage assets are currently in strong demand. So can you talk a little bit more about the opportunities that you mentioned and whether growth could also include M&A?
Bob Myles: Yes, I can. I really believe in gas storage [ph]. I've believed in it for a long time. I think right now if you – if you take a look at where even energy transition is somewhat slowing down, fossil fuel is going to be in our future for quite some time. The opportunities we see in gas storage is to firstly look at expanding our existing facilities. So we're in the process of doing that as we speak. We have two facilities in Alberta and we're looking to expand both of those. And with regards to acquisitions, we would definitely look at acquisitions, but we would not do it if it did not – we couldn't do it at a good multiple. Thanks very much.
Jessica Hoyle: Thanks very much.
Operator: We have a follow-up question from Mark Kirby with CIBC. Please go ahead.
Ollie Primak: Thank you. Hi, it's Ollie again. Just one last question. On that Yellowhead project. You essentially were saying that there seems to be or that there's are alluding to there being strong demand for the project and having confidence in the project and moving forward with it. But just wondering, on the regulatory side, has the AUC, like since the Dow project delay announced or was announced, has the AUC asked for any more evidence or sent any signals that they have some concerns on the need for the pipeline?
Bob Myles: Ollie, we actually, we wanted to get ahead of that, if I could put it that way. And so when Dow made their announcement, we did connect with the AUC and informed them about what part of the pipeline was contracted. We are currently contracted to 90% of the capacity. So we wanted to get that information to the AUC to prevent exactly what you said, to prevent the AUC from starting to have concerns around the pipeline. So we are still very optimistic that the project is, I'm going to say fully contracted because it pretty well is.
Ollie Primak: That's great to hear. That's it for me, guys. Thank you so much for your time.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Colin Jackson for any closing remarks. Please go ahead.
Colin Jackson: Thank you, Aisha. Thank you all for participating today. We appreciate your interest in Canadian Utilities and we look forward to speaking with you again soon.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.